Christopher Killoy: [Abruptly Start] I’ll ask Kevin Reid, our General Counsel to read our caution on forward-looking statements. Then, Tom Dineen, our Chief Financial Officer will give an overview of the second quarter 2023 financial results, and then I will discuss our operations in the current market. After that, we’ll get to your questions. Kevin?
Kevin Reid: Thanks, Chris. As usual, we want to remind everyone that statements made in the course of this meeting that state the company’s or management’s intentions, hopes, beliefs, expectations or predictions of the future are forward-looking statements. It is important to note that the company’s actual results could differ materially from those projected in such forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements as contained from time to time in the company’s SEC filings, including, but not limited to, of course, the company’s reports on the Form 10-K for the year-ended December 31, 2022, and on the Form 10-Q’s for the first and second quarters of 2023, the latter of which we filed last night. Copies of these documents may be obtained by contacting the company or the SEC or on the company website at ruger.com/corporate or the SEC website at sec.gov. We do reference non-GAAP EBITDA. Please note that the reconciliation of GAAP net income to non-GAAP EBITDA can be found in our Form 10-K for the year ended December 31, 2022, and our Form 10-Q’s for the first and second quarters of 2023, all of which are posted to our website. Furthermore, the company disclaims all responsibility to update forward-looking statements. Chris?
Christopher Killoy: Thanks, Kevin. And now, Tom will discuss the company’s second quarter 2023 results. Tom?
Thomas Dineen: Thanks, Chris. For the second quarter of 2023, net sales were $142.8 million and diluted earnings were $0.91 per share. For the corresponding period in 2022, net sales were $140.7 million and diluted earnings were $1.17 per share. For the 6 months ended July 1, 2023, net sales were $292.3 million and diluted earnings were $1.72 per share. For the corresponding period in 2022, net sales were $307.2 million and diluted earnings were $2.87 per share. Our profitability declined in the second quarter of 2023 from the second quarter of 2022, as our gross margin decreased from 31% to 27%. The lower margin was driven by: a product mix shift toward products with relatively lower margins that remain in stronger demand; inflationary cost increases in materials, commodities, services, energy and fuel; unfavorable deleveraging of fixed costs resulting from decreased production and increased sales promotional costs. While down from the prior quarter, we are pleased that our profitability this quarter improved from the first quarter of 2023 on essentially flat sales. Our continued focus on financial discipline and long-term shareholder value is evident in our strong debt free balance sheet. At July 1, 2023, our cash and short-term investments totaled $138 million. Our short-term investments are invested in United States treasury bills and in a money market fund that invests exclusively in United States treasury instruments, which mature within 1-year. At July 1, 2023, our current ratio was 4.5 to 1 and we had no debt. Stockholders’ equity was $333.2 million, which equates to a book value of $18.80 per share, of which $7.77 was cash and short-term investments. In the first half of 2023, we generated $21.8 million of cash from operations. We reinvested $4.9 million of that back into the company in the form of capital expenditures. We expect our 2023 capital expenditures to total approximately $20 million related to new product introductions, upgrades to our manufacturing equipment and improvements to our facilities. In the first half of 2023, we returned $101.4 million to our shareholders through the payment of our quarterly dividends and a $5 per share special dividend paid in January of 2023. Our Board of Directors declared a $0.36 per share quarterly dividend for shareholders of record as of August 15, 2023, payable on August 30, 2023. As a reminder, our quarterly dividend is approximately 40% of net income and, therefore, varies quarter-to-quarter. That’s the financial update for the second quarter. Chris?
Christopher Killoy: Thanks, Tom. Our second quarter sales were essentially flat compared to last year, despite the softening demand in some product categories, including polymer pistols, bolt action rifles and modern sporting rifles. The estimated unit sell-through of our products from the independent distributors to retailers in the first half of 2023 decreased 7% compared to the prior year period. Comparatively, NICS background checks, as adjusted by the National Shooting Sports Foundation decreased 4% from the first half of 2022. We continually review independent distributor sell-through data and inventory trends, and channel inventories of several of our product families remain below desired levels. We continue to adjust our level of production and the product mix to better align our output with current and expected consumer demand as we strive to capitalize on these opportunities and to better satisfy demand. Distributor inventories of several product categories are below pre-pandemic levels, including virtually all of our single-action revolvers, most of our double-action revolvers and several of our rifles, the Mini-14 and the Hawkeye product family in particular. In addition to these legacy families, new products consistently help drive demand. We had several new product introductions in the first half of the year. Most notably, we launched 2 new additions to the Marlin lever-action rifle family, the model 336 Classic, chambered in 30-30 Winchester, and the model 1894 Classic, chambered in 44 Magnum. These products have been received with great excitement by our customers, and Marlins continue to be the most talked about and requested products in our lineup. In April, we launched a Super Wrangler steel frame single-action revolver, which comes with two cylinders, one for the inexpensive 22 Long Rifle ammunition and one for the more powerful 22 Magnum ammunition. The moderately-priced Wrangler family has remained popular since its introduction in 2019. New product sales, which include only major new products that were introduced in the past 2 years like the Marlins and Super Wranglers I just mentioned, totaled $63.3 million, or 23% of firearm sales in the first half of 2023. This includes the MAX-9 pistol, the LCP MAX pistol, the 1895 Marlin lever-action rifle, the LC Carbine, Small-Frame Auto-loading Rifle, the Security-380 pistol, and the previously mentioned Marlin 336 Classic and the 1894 Classic lever-action rifles, and the Super Wrangler revolver. In the second quarter, we were also excited to introduce new pistols into California for the first time in 2014, due to some changes to the requirements for pistols to be sold in the state of California. Now, our customers in California are able to purchase a Mark IV pistol, the SR22 pistol, and the LCP pistol, all of which have been added to the California roster of certified handguns. We hope to add more in the second half of the year. Those were the highlights of the second quarter of 2023. Operator, may we have the first question?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Mark Smith with Lake Street Capital Markets. Your line is now open.
Alex Sturnieks: Hey, good morning, everyone. This is Alex Sturnieks on the line for Mark Smith today.
Christopher Killoy: Good morning, Alex.
Thomas Dineen: Hi, Alex.
Alex Sturnieks: Just, firstly, can you guys talk about your current comfort levels with the channel inventory?
Christopher Killoy: Yeah. Alex, this is Chris. One of the things when we look at our channel inventories, we don’t look at it just in terms of the aggregate amount, we also look at by product family. And there are certain product families that we’re still, frankly, working very hard to catch up. And there are others, who are satisfied with what’s out there and what we have in inventory. And, right now, when we look at our turns that our independent distributors have, they’re just about 6 times a year. So we’re comfortable with that. And, again, we think inventory is okay, where it is right now. Of course, we’d always like to see that inventory move into retail and move on to across the dealer’s counter to the consumer. But, right now, we’re okay with where things are at.
Alex Sturnieks: That’s great. Thank you for that. My follow-up here is, so we kind of see the industry seems to have dialed back from some promotions. Do you expect a heavily promotional holiday season? And then, if so, are you planning on participating promotions [in it] [ph]?
Christopher Killoy: Good question, Alex. Well, actually, right now, if you look at what’s going on in the industry, there are a lot of promotions out there. There’s a lot of rebates. I was just looking at a couple of websites with the number of rebates is pretty strong right now from a variety of manufacturers. I suspect that’s going to continue as we go forward as we get closer to the periods like Black Friday and holiday selling season. So, again, too early to tell as far as we don’t comment on forward-looking statements, but it’s getting to be a much more traditional and a little more promotional based activity out there than we’d seen in a couple of years.
Alex Sturnieks: That’s very helpful. Thank you for taking my questions. That’s all I had.
Christopher Killoy: Thanks, Alex.
Operator: Thank you. One moment for our next question, please. And our next question comes from Rommel Dionisio with Aegis Capital. Your line is now open.
Rommel Dionisio: Good morning. Thank you. I want to ask you – in prior, if we look back over the last couple of decades, we’ve definitely seen some spikes in demand in election years. And I just wondered two questions there, one is, are you starting to hear any of that in the channel in terms of an anticipation of that increased demand? And, second, you’ve enacted a lot of supply chain infrastructure investments over the last several years. And I wonder if you could just talk about, Chris, your ability to flex up in the next sort of part of the demand cycle. Thank you.
Christopher Killoy: Thanks, Rommel. Good questions. First part, as far as any upcoming election increase in demand, certainly, not seeing that right now. What we are seeing? I’d say traditionally in our business we see kind of as things hit the May time period, they typically slowdown as retail traffic at the gun shops decrease. So we saw some of that beginning in May. We’re optimistic that we’re going to see a decent hunting season. We’re excited with our bolt action rifle offerings, and I think we’re well positioned to capitalize on that. But, again, when it comes to the fall hunting season, probably, too early to predict. And your second question as far as our ability to flex up, we’ve got three major gun plants as well as our metal injection molding facility in Earth City, Missouri. And we built over 2 million units just a few years ago on an annualized basis. And, I think, we’ve demonstrated our ability to flex up, but we’re also able to with our strong balance sheet, maintain a decent amount of inventory in certain product categories where we know it takes us a longer time to ramp up. So if it does flex up, again, we’ve been through these cycles many times. We’re ready to go. But, I think, at this point in time we’re not seeing any indications of kind of that artificial stimulus from a political season. We’re just not seeing that certainly at this point.
Rommel Dionisio: Okay. That’s very helpful. Thanks, Chris.
Christopher Killoy: Thanks, Rommel.
Operator: [Operator Instructions] And I’m currently showing no further questions at this time. I’d like to hand the conference back over to Mr. Killoy for closing comments.
Christopher Killoy: Thanks, operator. I’d like to thank all of you for attending this call, especially our shareholders. And I would also like to thank our loyal customers and our 1,900 hardworking members of the Ruger team who design, build and sell rugged, reliable firearms. And, finally, just a reminder that August is National Shooting Sports Month. I encourage all of you to get outside or go to your favorite indoor range and safely enjoy [Technical Difficulty] Ruger associates make and enjoy those with your friends and family. Thank you.
Operator: Thank you. This concludes today’s conference call. Thank you for your participation. You may now disconnect. Everyone have a wonderful day.